Christoph Vilanek: Good morning, everybody. Thanks for joining today's call. Highly traditional, I'm going to start with some qualitative assessment of the last quarter and Ingo will then go into financial details followed by, hopefully, interesting Q&A. Page number 1, we believe the -- this is a good start into the year, we called it the sound start, with solid key financials, revenues grew as expected, adjusted EBITDA on mobile is stable, whereas the TV and media is growing significantly. We'll comment on that in a second and free cash flow is also in line with the guidance and our internal planning. On the pure operational KPIs, customer growth in both segments is okay. I think that is definitely the point where everybody was maybe a bit disappointed. I'm not at all disappointed to be honest because I think all the entire market has seen a little fatigue. We have all seen uncertainties in German consumption, private consumption during this first quarter, the new elections, the building of the new [indiscernible] and government staff, I think that all led to uncertainties that we also see. And we have, therefore, consequently taken out money of the market. I think that was the key where Ingo will explain a bit more, we took out money out of the market with our offers. Obviously, you can see it immediately because it then expanded over 24 months. But that's what we did. So we did on purpose, take down the numbers a little bit. Going one step deeper, let me start with mobile. You can see that postpaid growth is 53,000 units, it's almost tripled from previous year. So we are, no doubt, expanding and building up on our new tariffs, but also on our new agreements with Telefonica Vodafone and DT, but still the -- we are reluctant to overpay. We see very strong performance in MediaMarktSaturn. We see very strong performance in our own retail and all captive channels. The thing that we are missing a bit is on the low price SIM-only is online, pure online, which would be E.G. CHECK24, this is where we were reluctant to over pace and not to pay as much as others that obviously defend this piece. We all have seen a couple of tariff changes. The good thing about it is that the changes are at least when we look at our migration data, they are on the upper end of the market. The new offering of DT with €35 with a combined card, it's not your first SIM, but if you have combined cards, unlimited is a good offer. Even though €35 is a good ARPU, and we can also offer that to the customers, and that is strengthening the portfolio. We have also seen N26 last week. I think big announcement, but small impact. Tariffs are not attractive. And with all my respect for online banking, I think all their customers will have or should have a SIM card yet because otherwise they couldn't handle the app. So why would you now change to N26. And again, their offer is not super attractive one. So in summary, we could have grown more, but we decided based on the competition on the low end market that would not outspend the market and wait a little bit during the course of the year because we think it's enough time to catch up with our guidance that we will have moderate growth. Even though -- or in parallel and we seldom show funny pictures on branding but I thought this week or this time, it makes sense. We use the time. We did a lot of sports sponsorship. And as you can see on the right-hand side, brand familiarity with brand recognition, getting into the relevant set and also the likelihood of purchase was increasing significantly. This is not impacting net adds overnight, but it's building the interest for the future, and this is why I think it is important in periods like this where the market is heavily stagnating that you reposition your brand and you spend a bit more money, smart money, by the way, on these kinds of things. Sponsoring is way cheaper than typically TV media buying. Moving on to the TV segment. On this page, you can see that the subscriber development, waipu net adds are up by 60,000. This is internal planning. We have -- and I know that everybody will now ask what is the impact of the missing acquisition and the churn out of the Telefonica customer base. We have agreed with Telefonica not to disclose this in detail, but order of magnitude, it's approximately the same number that our net growth. So talking about 50,000 around about per quarter. So if you would add them, then you would see that, that would be a fair comparison to previous year. Overall, we think that 60,000 is a good number. I compare it always to Magenta. You know that Magenta was doing 37,000 like-for-like, as we always compare without their OTT, and they are down from 73,000. So they have halved it. And if we clean out the effect from Telefonica, we are almost on -- or we are on the same level as previous year. Very important, and I think we've shared that as well with you, so far, we are selling CTV advertising on the smaller and so-called fast channels only. This represents about 16% of our current usage. We have tested with ProSiebenSat.1 to market their viewership on our waipu TV base separate from their own. It was a successful test. But after the test, they said that they would want to take that technology and deploy it on our viewership, but they want to do the ad sales themselves. We have now finally signed a deal with them. It's up and running technically now in -- was up and running in April. And by now mid-May, we see the first revenues coming in. I think that is -- I think it's a breakthrough even though the first couple of months, it will not have a huge impact, but I think it will -- it proves the concept and we are quite sure that RTL and some others will join into the same logic in the near future. So it's great since we can now market almost 30% of the usage with own -- as own inventory to the advertising market. On freenet TV, we had a churn of minus 20,000, which is in line with what we have seen before. But there's still -- we're still waiting for like 7, 8 years may be kind of like for a stop loss line, it's not going to happen, but the shrinking is decreasing. So also, I think that is very much in line with what we've told you before. What is the progress on waipu.tv? Well, looking at hardware it's not really our style. Still this time, I wanted to share with you. The one thing, this is a new form factor. It looks basically like an Apple TV from a form factor in size. It was a result of a lot of research, which we've done and a lot of questionnaires with our customer base. They -- people feel that the WiFi connectivity would be better if this is a separate device, which is visible not behind -- and not hidden behind the TV set. Yes, it's partially true. But more importantly, it's a psychological element. Also, people asked us whether we could put an LED so that you can see whether it's on or off. It's really see that like old learnings and legacy attitude is kind of like non-deletable. But nevertheless, now you can do faster setting. The remote control is illuminated. There's a lot of other stuff. But most importantly, the welcome screen is now finally fully owned by us. So we can do the tiles with the zone with Netflix, with Sky, with our own archive, et cetera, et cetera, so far, all the older generations we had to take the Android kind of menu and this now is a separate one, which we can fully manipulate. And we will, in the future, also customize based on the individual usage of our customers. Overall, we think that the shift to IPTV is continuing. We are -- but you also have seen and heard from Vodafone that they have switched off a lot of stuff, but those people are now paying -- watching without paying, I think this situation will remain for the next couple of months. Sooner or later Vodafone will have to react, and we expect then that this will be the second wave of impact of the NIM cost and [indiscernible]. And then I'm also already coming to my last chart. We've told you before that media broadcast, we are trying to leverage media broadcast core competence. One is the field service and that is a great one. They are servicing today, the DAB and the DVB-T antennas. Those people are obviously, since they do maintenance and incident resolutions, they're not busy all day. So we have started to find other customers for the same field service. So we have like [Foreign Language] cost, as we say in German, existing cost that we deploy now in an extended way. We have won 3 customers on the electric charging infrastructure in Q1. We have another 3 now coming in Q2. We have 18 qualified leads. And to give you a flavor today, these kind of charging boxes, it's about 150,000 in Germany, and it's supposed to grow to over 1 million. The majority will be in private garages with private companies. And that is exactly the field where we think we can be successfully supplying service, construction, maintenance and incident management. Still a small piece, but I think it's growing, and we're quite happy that we have found a new field that is definitely creating an opportunity and we are not in a defense, but in an offense there, which is great. Having said that, I'd like to hand over to Ingo.
Ingo Arnold: Yes. Thank you, Christoph. Good morning, everybody. I'll start with the group overview on Page 11 of the presentation. I think revenues increasing and it's based on both product-oriented segment. So quite -- it looks quite fine. On the gross profit side, an increase of €6.5 million and an increase of the gross margin to 39.1%. So also fine. I think maybe a little bit disappointing from an outside view is the development of the adjusted EBITDA, which is shrinking from €127 million to €126 million. I think you have to put into consideration and it is a little bit linked to what Christoph presented before. We spent €4 million additional on marketing in the Mobile segment, on the brand marketing side, and I think it was our intention to do so. So therefore, I think we missed a little bit here to increase the adjusted EBITDA, but this is an effect for the first quarter. So we did some front loading here in marketing. So I think from my point of view, the adjusted EBITDA is still fine and definitely we confirm the guidance for the full year of €520 million to €540 million is the range. Turning to the Mobile segment. What we can see here on the revenue side, we see an increase, but -- and I think we have to be consistent here. The increase is based on the hardware revenues which are low margin, and so therefore, not that important for us. The increase of hardware revenues was done because we sold some more packages on the postpaid -- some more bundles on the postpaid side. I think this is also linked to what Christoph said. We did not that much SIM-only on the discount side. We did more bundles on the higher end of the market. I think this is not translated into service revenue now and into ARPU now because this is too early that we changed here. So therefore, yes, we see a slight -- very slight decrease of the service revenues, which are high margin. But I think what is also very positive if we translate it into gross profit, we do see an increase here in the gross profit. So even with a slight decrease in service revenues, we could increase the gross profit. I think this is what we try to teach you since years is that our gross profit is not directly linked to the ARPU. So here, it's a difference to a normal mobile network operator. So we are different here. And I think this is a -- it's a proof of what we told you more than once. On the adjusted EBITDA side, I think the same comment what I did on the group level. We spent additional €4 million on marketing in the first quarter here. Without this, the gross profit would be also translated into the EBITDA. So I think we are still bold here to confirm the guidance for the end of the year. Moving to the KPI side. And I think it is just math here. If you lose in the ARPU, 1.8% and if you gain customers by 0.7%, there should be a decrease of the service revenues. This is what we already saw but I think we are happy that we are able with the new network operator contracts what we have that we are able to increase the customer base further and with much more pace than in beginning of '24. Digital Lifestyle revenues. We had a -- on the supplier side of the accessories, we had a -- we had to change because there were -- one of the suppliers got bankruptcy. So I think we have some phasing here, but definitely, there will be a catch-up in Q2 in the DLS, Digital Lifestyle revenues. Moving to TV. I think all what we see is that waipu.tv is growing. We see the higher revenues based on more subscribers at waipu. We see a higher gross profit based on the higher number of customers at waipu. All in the Media segment, we still see a margin of something like 60% and in the adjusted EBITDA, most of the gross profit is arriving. So there is also an increase by €2.3 million in the adjusted EBITDA. So I think, yes, on the SG&A side, there are some headwinds because we have more personnel now at waipu.tv also to handle the customer base. We have not yet started to decrease the marketing spendings here. We will do during the year, but we had another campaign, which was already planned for the first quarter. So I think also here, we are -- we confirm the guidance for the full year. Moving to the free cash flow. I think, all in, better than consensus here, better than what we expected. So it was a very good quarter on the free cash flow side. Change in net working capital, negative. This is typical because you have some deferred payments from the Christmas business, but it's better than last year. And here, for the full year, we guided €45 million. And I think this is something what I would still guide today. On the taxes side, only minus €8.2 million in the first quarter. We guided for the full year minus €50 million, but I think we already announced with the publication of the guidance that there will be -- that we have to release some tax provisions expected in Q3. So I would still stick to the minus €50 million for the full year here. CapEx is €8.6 million at the end of the first quarter. I think, yes, maybe it is phasing. But in CapEx, I think it will be even difficult to spend the €55 million, what we guided for the full year. So definitely, here could be a chance. On the lease side, €15 million normal pace, what we see. And on the interest payment side, I think this is based to the interest payment dates in the -- from the promissory notes. So we also here stick to the €23 million for the full year. So I think we are fully in line with the guidance here. So this is from my side to the financials. So I would hand over to the moderator again to start the Q&A session, please.
Operator: [Operator Instructions] And we're starting with the first questioner, it is Ulrich Rathe from Bernstein.
Ulrich Rathe : I have 3 questions, please. The first one is, you reiterated the guidance for the ARPU stable, right, plus/minus 1%, whatever it may be. But given what happened in the first quarter, which represents really the whole base, right? It doesn't reflect the incremental customer growth. You really have to bring the ARPU up across the base for the rest of the year a little bit. So the question is what gives you the confidence that this is still possible? What measures will be behind that? Because it seems to me that the competition in the low end remains pretty hot. You're referring there to the fourth quarter, but the situation is largely unchanged. So what gives you the confidence that the ARPU can recover for the whole base. Second question is on the brand advertising. Just to confirm, this will go away in the second quarter. This was strictly a timing effect related to the timing of the sports events where you saw an opportunity to increase brand advertising. And then just a clarification on this issue. In your prepared remarks, you said you're repositioning the brand. What exactly are you repositioning it towards? That wasn't clear to me. And the last question, if I may, is the comments, Ingo, from on -- OpEx in TV were a little bit unclear to me. What exactly happened there in the first quarter? And what are the moving parts for the remainder of the year with regards to OpEx in the TV business?
Christoph Vilanek: Yes, Ulrich, thank you for the questions. What makes us positive on the ARPU is basically the new cohorts that we can see in Q1. As Ingo said, we have a higher proportion of bundles and that typically are also higher ARPUs. Second is we're running into a big wave of renewals and also on the renewal, we are not losing ARPU, but we're trying to step up a little bit with bigger data packages. I think the unknown, and you're definitely right, is when is a big cohort coming in on the lower end of the market. Honestly, we are in the middle already of the second quarter, and we see that this is still okay, but it's not a big wave. So the dilution by low-end offers is in the first and second quarter lower than one would believe, and at the end of the day, also the agreements with the network operators allow us if we have higher ARPUs, we need less volume. So we are balancing the two, and this is what makes us confident that based on current statistics, ARPU will remain on the known level. On the marketing spending, I mean, that will not totally go down immediately. But I think for second quarter, we spent the same money. But as always, in our -- it's our style to review done like early summer. There's always a summer pause, and then we'll decide on how much we spend in autumn. That's basically the logic. And your question on repositioning is that right now, marketing is much more brand only, and we have now assisted the sponsoring piece, which is pure awareness with higher spend on social media where we are telling a story. It's -- freenet is if you're a competent partner, but we don't take ourselves too serious. We're basically easing your life. That is a repositioning because we come from a freenet [indiscernible], they have everything you need to choose to a -- you know us, you can trust us, you have to like us. That's what we would call a repositioning which always takes a little while. Ingo, I think you take the OpEx one.
Ingo Arnold: Yes. I think what I tried to explain, Ulrich, is that we see the increase of €5 million in the gross profit and only half of it is arriving in the EBITDA. So therefore, the SG&A was increased in the first quarter compared to the first quarter last year. One reason is that especially at waipu, we increased the number of employees. So there, we have higher personnel costs. On the other hand, what we announced for the year is that we will decrease the marketing spendings at waipu. This has not started during the first quarter because some campaigns were already set up at the end of last year. So I think the effect from lower marketing spendings will be seen in the following quarters, so not in the first quarter. And so therefore, I think you have a mix of higher cost here from different items but all is steered from our side, and it is only a phasing question where we -- what we could change during the year whenever it will be necessary. And therefore, we confirm the guidance here.
Operator: Next up is Mathieu Robilliard from Barclays.
Mathieu Robilliard : I had 2 questions. First on mobile. I mean, the usual question about the competitive environment, how has it changed in Q1 and how is it in Q2? I also wanted to relate that to some comments from one of your peers saying that there was an operator in the market that was starting to give MVNO deals to OTTs, such as Revolut and others, and that was qualified as stupid at the time. I won't comment on that. But do you see a risk here that we see less and less discipline in terms of signing MVNO deals with new entrants? And then on the pay TV market, and sorry if you touched this at the beginning of the presentation, I missed it. But I wanted to understand a bit more the volume dynamics. I think we are all aware that the change in the cable law is something that should continue to fuel net adds growth. And I was wondering -- and I know that you said in the past that it doesn't happen overnight. But are you seeing here an increased pool of customers coming to you from previous cable contracts? Is there an acceleration? Is it changing at all? So that was my question.
Christoph Vilanek: Mathieu, good questions. On the competitive event, I think I made a comment at the beginning, I see DT -- I mean, it sounded like a big revolution when they came up with €35 and you cannot take advantage of it unless you're a customer with more SIM cards anyway. I think DT clearly says we have a network and it's so robust and so strong and so big. So we can afford even to give more data than others just because capacity is there. And I think they did it smarter than others because with €35, you're not going into the low-end market, and they won't get the people that are -- and also with hiding it behind the second SIM card, they are not getting the trash that -- also we -- when we started with FUNK, we also had these trash people that like suddenly had 5 terabytes a month, which was misusage because they use it for other purposes than you would assume. So I think that's one trend that we see, but I think DT is very smart in doing it. They do it carefully. And even on German television, when you see their ads, they're not even mentioned the price, so which is new in the market, typically always SIM card prices or tariff prices would be either shown or talked about. So I think that is a strong signal that they do it smart, and they don't want to waste. Vodafone is struggling. On the one hand side, they're getting more and more load from [indiscernible] which for sure is some challenge for them. I think the Revolut thing and the N26 comes from 1GLOBAL, which is a virtual MVNO from U.K. and they're working with Vodafone. As I also mentioned at the beginning, I mean, the Revolut thing, I would take them serious, but they are not in Germany really. N26 is a German national player, but I mean, I quite ironically stated that all the people that are working with an app and having that depots and accounts with N26 and use an app for that, they obviously have a phone and a SIM card. Otherwise, it wouldn't work. And those people have not waited for an offer of 5 gigabytes for €13.99. So yes, I'm not seeing any move. And we are doing ongoingly. We monitor daily how many calls do we get about pricing, how many calls we get about cancellation of contracts, termination of contracts. And we always ask a reason. So we cannot see a change there. That is a quantitative indicator, but it's the best one that we have. Why is Vodafone indirectly offering it? You need to ask the guys there. I mean, we took the opportunity and went back to Dusseldorf and said, if you're giving it to everybody else, you need to declare that we are -- as the biggest and most important partner, we get -- we can rely on the preferred partnership. So we took it as an arbitrage and negotiation point even though their answer was also, it's not so big and don't worry. We said we are not worried, but we want to take a benefit from what you've done. So that's the old game. We've always taken -- I think we were always happy when new entrants came in. Typically, it helped us to renegotiate and to improve our position. And thirdly, on the pay TV market, well, the interesting thing is that, I mean, right now, we have basically 4 players, 2 that are kind of like visible that is waipu.tv and Magenta TV, so Deutsche Telekom and freenet. Less visible is O2 with their own product and also less visible is [indiscernible] United Internet with their product. They both, I would say, take it as a collateral product and not as a strategic product. DT and ourselves, we are quite frustrated about the handling of those people that have resigned or are not officially holding a contract with the cable operators, Tele Columbus and Vodafone. All means according to the report, we see that 4.5 million households should now go for a different access technology. But if we look at the net adds on our side, they don't arrive yet. And we know for sure that Vodafone is not in a position to switch off those customers. They cannot identify them, easy to understand in a house with 10 lease apartments. They have -- when they need to go into the house, they need to understand what the switchboard is -- where the switchboard is, then we will need to find out which line is going into which flat. All this is a huge problem. It's expensive, and they're not doing it. Deutsche Telekom, as far as we know, is filing on court against this behavior because those people are paying. We have also heard that the TV companies are also not happy about it because very soon, they will not be counted on advertising reach. So we think that there is an intermediate period which might take another 6 months before those customers will get into a position that they need to choose and switch or then sign a contract with Vodafone. So this is why we took the consequences and said, like we will prove to the market, we will prove to the capital market also to you that waipu is a strong contributor on EBITDA during the course of the year. And if we do a bit less volume, we wouldn't worry because the most important also there is these days to have strong cohorts that really watch TV. And that give me one more indicator on saying what I said right at the beginning, we see a little fatigue across the board. We've done an Easter offer together with Netflix, a really, really attractive package. And we've sold less than we thought. And 18 months ago, such an attractive combination with Netflix, would have been a turbo booster and now it was a super booster, but not a turbo one. So it's okay. But it also shows that penetration is high with all these kind of packages. RTL+ is claiming that they have 6 million or 7 million users. I mean 3/4 of it are bundled free of charge within Magenta and Joyn is still fighting to get paid customers. So back in good old Germany. We have deal seekers. We are a country of, yes, catching the best offer type of people. Right now, we are not running behind them. We're waiting for the good ones and attracting the good ones, and we are reluctant to overspend.
Mathieu Robilliard : That's very helpful. If I may follow up just very quickly on the point on Mobile. I just wanted to confirm that I understand well. You've just renegotiated recently your wholesale contracts but what you say is that if there's a newcomer that has a slightly better or different contract, you can change the terms of the wholesale contract with the wholesaler that is providing the service to this newcomer. Did I get this right?
Christoph Vilanek: Yes, you got this right. I mean, I think it would not be fair to say we can change the prices. But within these contracts, you have all kind of elements of marketing funds of revenue rev shares within certain tariff plans, access to packages, et cetera, et cetera. So we take any opportunity to go back and say, we are not feeling treated super well here. Can we have that? Can we have that? And that might be very specific for a segment, that might, in some cases, be specific to a specific plan. So it's always room to maneuver. And it's not the big renegotiation. It's like tweaking here, tweaking there and trying to get some money out of them. I mean, Vodafone is in a troubled position. So I mean they are -- I don't -- I think Marcel does a great job, but he has a really big job. So he's happy to -- for our support and is more willing to pay for it than he might have been 2 years ago.
Operator: The next question comes from Simon Stippig from Warburg Research.
Simon Stippig: Three quick ones from my side. First of all, in regard to share buyback, have you bought back any shares first? And then also on the last conference call, we talked about that 20% of your free cash flow translate to €60 million, not up to €100 million in volume. Is there any news about your intention is volume of closer to €100 million is in the cards? And secondly, would be in regard to Media Broadcast. You mentioned top line decline in the segment. Could you go into more detail here? And then third one, a quick one, in the Media and TV segment, could you quantify your marketing spend for waipu.tv during Q1?
Ingo Arnold: So Simon, you started with your question about share buyback. I think we have not yet started. I think we would be ready to start. And -- but I think whenever there's an official start, there will be also a publication. So I think you will be aware of the start. I think, yes, we announced that we would like to do up to €100 million. I think the first €60 million is easy to calculate because this is 20% of the free cash flow of last year. But we would like to have some room for maneuver if we have a good free cash flow development during the year, that it could be possible that we spend even more because the leverage is already low. So I think I will not guarantee any amount, but I can confirm what we published that we will invest up to €100 million, but it's not yet decided what the correct or the final amount will be there. Then I think the marketing spend of waipu, I think we do not exactly quantify it, but I think it is more than what we invested in the first quarter last year. This is something what I can say. It's not that much more, but it's slightly more and then I think during the year, as you know, in the second half of '24, we increased the investments in marketing there. And I think we have to -- starting with the second quarter last year, we increased it. So I think we have to wait and see. My expectation would be that already in the second quarter, the marketing expense will be lower than last year.
Christoph Vilanek: And your third question was on Media Broadcast, my comment on kind of an expected decrease. I think you all know also from our last CMD that we foresee a slowdown in revenues and EBITDA with Media Broadcast. That's basically threefold. I'd say one is that the terrestrial end consumer paying are going down, as you can see, the 20,000 churn in the first quarter. The second is also that we had to accept a couple of discounts over the years with carriage fees with the public television stations that's all part of the budget, that's all part of the 3-year outlook, but it's going down. And also, we see silent impact of digitization for extra services that we have done over the last years with the public channels, all kinds of CDN services, et cetera, et cetera. So all those are slowly going away but not unplanned or unforeseen. It's no surprise for us. But this is why this is even more important to identify new fields of work, and one is the one of the field service. I thought we should show it and share it with you because soon or later, you would ask the question if the EB goes down or DVBD goes down, what are you doing with your 200 people out there? What we're doing is we're doing service. We're doing also service, by the way, for United Internet Mobile Network. We do active and passive infrastructure service. We're now doing this with the electric charging field, and we have also yet identified a few other people that need field organizations. And this is why we feel comfortable that even though EBITDA revenue will go down, we will -- we stick to the plan because we have alternative sources of revenue and capacity.
Simon Stippig: Okay. And today, obviously, supposedly is the last conference call after such a long time as CEO. So I wanted to thank you for the many informative comments. These were quite helpful, and I wish you all the best for your next challenge.
Christoph Vilanek: Yes. Thank you very much. I do a little thank you at the end. We're not yet done.
Operator: So the next question comes from [indiscernible] from UBS.
Unidentified Analyst: I just have two, one on Mobile and one on waipu.tv. But starting off with Mobile, I think you've been, yes, echoing comments from all the other German operators in terms of seeing increased competition. But is freenet not a net beneficiary of this increased competition as other operators try and use freenet and additional channels to support their acquisition? So that's on Mobile. And then secondly, on waipu.tv, thank you for giving us some color in terms of the quantum of the [indiscernible] impact per quarter. But in terms of net add trends going forward, should we expect waipu.tv net adds to actually accelerate again in Q4 this year as you start to lap the O2 drag? And how confident are you in reaching your 2.3 million waipu.tv customer target by the end of 2025 and then also the 3.5 million target by 2028?
Christoph Vilanek: Yes. Thank you very much. I think the first one is definitely right. We typically are taking a benefit of more [Technical Difficulty] it is more on like a gross margin level, not on volume because we cannot invent new customers, but we're all fishing in the same pot. Then that would -- typically, what happens is that we do a volume shift between the 3 network operators. And by doing so, we arbitrage and take a benefit. So you're definitely right with your assumption. Second one, on waipu, yes, I think the strong step will be Q4. Summer is always a bit weak. There is no big -- no real big events this year. On top, I think the change in the Bundesliga rights distribution between Sky and the zone might help in fall, also RTL is taking a couple of games. I think we can take a benefit there. We will have an extra push. But I strongly believe that Q4 will be the key one. I personally believe in the 2.3 million and I also believe in the 3.5 million, it's just a matter of taking a breath now and then stepping up.
Operator: At the moment, there are no further questions.
Christoph Vilanek: Okay. Well, then let me thank all of you. I don't know how many of you have been around as long as I have, 16 years, I counted this morning, it's my 63rd analyst quarterly call, including the full year results, obviously. I remember the very first one. I had no idea how this would work. We did not even have a presentation. And then I will not mention who it was. No, I can't mention who it was. Thomas [indiscernible] back then from Kepler called me right after the call and said anybody else would have a presentation. And I asked back then my CFO and said, like, why don't we have a presentation and he said, yes, because we don't like it. And Thomas traveled to Hamburg and showed me presentations of others. I was not even aware that the others would publish them. So then we started, 62 times I had a presentation. For me, it was always fun to do so, to talk to you, maybe have a bit of a different style than others, but I enjoyed it doing with Joachim back then and now many years with Ingo. I thank all of you for the trust, for the support, for the critical comments and also at least some of you I've met personally and I think I enjoyed the relation and you hopefully did the same, enjoyed the relationship. And I always enjoyed the constructive interaction. I think it was a great journey. You contributed heavily to it. When you wrote critical comments, it was creating ambition on our side. When you are very positive, it created anxiety because we had to fulfill the step-ups. So I think you're kind of the fuel that a team like ours here with Benne, with Tim and all the others, you are the fuel that drive us working every day. Thanks for that. I wish you all the best, I wish you the right stock picks, successful share performance. And however, you -- whatever you are paid up on, I wish you success, carry fees or whatever it is. So thank you very much for this long period. I'm looking forward, maybe to speak to some of you in a different environment in the -- not in a near but in the further future. All the best. Thank you.